Operator: Hello and thank you for standing by. My name is Jeremy and I will be your conference operator today. At this time, I would like to welcome everyone to the Riley Exploration Permian Incorporated's Q1 2023 Earnings Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks there will be a question-and-answer session. [Operator Instructions] I would now like to turn the call over to the CFO, Philip Riley.
Philip Riley: Thank you, and good morning to everyone. Welcome to our conference call covering the first quarter 2023 results. Yesterday, the company published a number of items which can be found on our website under the Investors section, an earnings release, supplemental info and non-GAAP measures and two presentations. One of which provides an update for first quarter results, with the second providing a company overview. We plan to file our 10-Q on Wednesday. Participating on the call today are Bobby Riley, Chairman and CEO; Kevin Riley, President, and me, Philip Riley, CFO and EVP of Strategy. Today's conference call contains certain projections and other forward-looking statements within the meaning of the federal securities laws. These statements are subject to risks and uncertainties that may cause actual results to differ materially from those expressed or implied in these statements. We will also reference certain non-GAAP measures. The reconciliations to the appropriate GAAP measures can be found in our supplemental disclosure on our website. I'll now turn the call over to Bobby.
Bobby Riley: Thank you, Philip. Good morning and thank you for joining us today on our Q1 2023 earnings call. I'm pleased to report that the company remains focused on optimizing our core business, and I believe we are off to a great start in 2023. Although we gave a lot of attention during Q1 to the New Mexico acquisition, we were still able to meet or even surpass the targets we had previously announced for the quarter. In addition to our ongoing development of our core assets, subsequent to closing the acquisition on April the 3rd, we have commenced development activities in New Mexico with plans to bring on additional wells early in the third quarter. The New Mexico acquisition marks a major milestone for the company and we are excited about the opportunities it brings for long-term growth and value creation for our shareholders. We also announced a joint venture to construct new power infrastructure for on-site generation using produced gas. This strategic initiative aligns with our commitment to sustainable practices and cost efficient operations. I will now turn the call over to Kevin to discuss our operational results for the quarter.
Kevin Riley: Thank you, Bobby, and good morning. Riley Permian continued to execute in the first quarter with production coming in within the guidance range, but on the low end at 9.9 thousand barrels of oil per day and 13.2 thousand barrels of oil equivalent per day. During the quarter, the company turned to sales 7 gross 5.3 net wells, which is well above the 1 gross, 1 net well, we turned to sales during Q4 of 2022. Production already has and is expected to continue to increase in Q2 relative to both Q4 2022 and Q1 2023, not only from having a full quarter of contribution in the wells put online in Q1, but also with the addition of the New Mexico acquisition and the continued development of our core assets. As a reminder, the production from new Wells oftentimes has a lag effect with a large portion of the associated CapEx being realized in the prior period, as these wells take anywhere from one to three months on average to reach peak production. So that said, April is the first month that fully benefits from development activity of the previous quarter. Q1 remained relatively flat quarter-over-quarter with only one new well from Q4 2022 reaching its peak production during the period. Lease operating expenses were lower than guidance expectations, primarily due to optimizations and some delayed workovers due to seasonal West Texas winds. As Bobby had previously mentioned, subsequently closing on April 3rd, we have commenced development in New Mexico and we are currently finishing up drilling activity on the second of our first four wells. On our Champions [ph] asset in Yoakum County we just finished the drilling campaign for the first half of 2023, and the remainder of these wells will be turned to sales over the next couple of months. The campaign was very successful and the team was able to deliver a significant improvement in days spent on each well, on average reducing spud to TE by 25% on a one and a half mile lateral, with the last three of the campaign being the best coming in right at six days from Spud to TE. These improvements have resulted in well cost reductions, currently estimated at 4% to 5% of an AFE as compared to the previous one campaign in 2022. Lastly, regarding service costs, we remain cautiously optimistic. We have seen a slight decrease in service costs as compared to 2022, and we hope to see more benefits from that in the second half of the year as we work through our previous commitments and pre-orders from 2022 for our 2023 development activity. With that, I'll turn the call over to Phillip to discuss the financial results. Thank you.
Philip Riley: Thank you, Kevin. For the first quarter of 2023 we're reporting net income of $32 million or $1.60 per diluted share and adjusted net income of $25 million or $1.26 per diluted share. Adjusted Adjusted EBITDAX of $44 million for the quarter was up by $9 million or 26% year-over-year and modestly lower quarter-over-quarter by approximately $2 million or 5%. Operating cash flow was $33 million or $37 million before working capital changes, which is up by $7 million or 23% year-over-year. This was driven by higher production volumes despite lower prices. LOE on a unit of production basis was actually slightly lower year-over-year as compared to full year 2022, which is encouraging and a reflection of our cost control efforts. Quarter-over-quarter, operating cash flow before working capital was lower by $7 million or 16%. We have very modestly lower volumes and slightly higher LOE and G&A on a unit basis. Some of the added G&A for March reflected additions made to the New Mexico acquisition but prior to having the production volume to offset the unit cost metric. Interest expense was higher, primarily due to not having the benefit like we did in the fourth quarter of the onetime interest swap settlement. And then final point on operating cash flow is that we accrued $2 million in transaction expenses in the first quarter related to the acquisition. For the quarter, accrual base CapEx was $42 million and cash CapEx was $35 million. As a result of the spend, free cash flow was modest during the first quarter of just over $2 million as anticipated due to the concentration of development activity and corresponding capital spending consistent with our 2023 full year plan. As discussed on past calls, we encourage investors to focus less on a single quarter free cash flow, given uneven activity and instead focus on the full year metric as well as the overall growth of operating cash flow. I'll offer some commentary on capital allocation. Clearly, the biggest allocation this year was towards the New Mexico acquisition. We're very excited about the deal and assets, and we appreciate investors' reaction and support for the deal thus far. We also want to thank our financing partners and the sellers for a smooth transition. For the remainder of the year, the bulk of discretionary cash flow based on current conditions and prices will likely go towards reinvestment or volume growth with the balance available for debt paydown, new ventures and our dividend. On upstream reinvestment, the spending to year-to-date as well as the anticipated spend going forward this year should result in what we forecast as meaningful growth above and beyond solely the pickup from the acquisition volumes. The spend currently appears front half-weighted with about 60% in the first half of the year based on midpoint guidance. Our reinvestment rate will be influenced by the macro environment. The macro backdrop has certainly been volatile this year, the Fed induced monetary tightening, debates on oil demand as well as very weak gas and NGL pricing. So we do remain flexible to slow down spending and we'll continue to evaluate options there with our management team and the Board to find the right balance. We also hope to delever this year, both through scheduled amortization on the notes of $5 million per quarter as well as through voluntary paydowns on the credit facility. The amount of delevering will largely be a function of commodity pricing and our reinvestment rate. On new ventures, we have $10 million to $15 million forecasted for 2023 investment and our power joint venture. This project is off to a great start, and we frankly see opportunity to expand already. We're still focused on EOR and CCUS and continue to evaluate opportunities with counterparties. We do not have a material amount of investment earmarked at the moment, which could change in any quarter as situations developed as regulations become clear and if deals compete for capital with our upstream and power businesses. Finally, we plan to continue to pay our quarterly dividend, which represents a material amount of excess free cash flow by our estimates. I'll pass it back to Kevin for a discussion of guidance.
Kevin Riley: I'll now give guidance for the company's activity for the second quarter on a combined basis as this quarter will be the first quarter to include the results of the New Mexico acquisition. Please note that the guidance provided is subject to change as we are monitoring the fluctuating nature of commodity prices. We forecast oil production to average 14,000 to 15,000 barrels per day and total equivalent production to average 20,000 to 21,000 barrels of oil equivalent per day based on estimates of available gas processing capacity. We anticipate LOE of approximately $8 to $9 per BOE and cash G&A expenses of approximately $3 to $3.50 per BOE. The company also anticipates cash income taxes of approximately $3 million to $4 million to be paid during the quarter. Lastly, we forecast accrual basis capital expenditures of $50 million to $60 million, excluding the amounts of corporate or land acquisitions. I will now turn the call over to Bobby for closing remarks.
Bobby Riley: Thank you, Kevin. And again, we appreciate your time and interest in our company. As always, we are focused on creating value for our shareholders and look forward to updating on our progress in the next quarter and beyond. Operator, you may now open the call for discussion.
Operator: Awesome, thank you. [Operator Instructions] Your first question comes from the line of Neil Dingmann. Your line is open.
Neil Dingmann: Good morning guys. Thanks for the time. Bobby, for you or Kevin, my first question is just really looking at the new assets, I think there's really interesting perspective. I'm just wondering when you look at the plan, I know it's still super early. How much will you integrate? And is that something that will be a big part of your plan already this year to maybe talk about, number one, if that's going to be fully incorporated how quickly it'll be incorporated? And then just number two, I've asked my question now is more just on the EUR side, how the project is going? And is there any plans for a second?
Kevin Riley: Yes Neil, and good morning. Regarding the Mexico asset, integration has already begun, though we're working through a transition period with the previous operator -- our group is heavily involved in the activities out there and slowly transitioning of which we intend to have done during this quarter completely. That asset, we only encompass about 40% of our development capital this year, most of which have started mid-April and we'll go through, I would say, October, November as it sits, bar any changes due to commodity prices like we mentioned. Regarding the EUR, we are continuing to inject as we have said on the previous projects. We are refreshing the reservoir. This does take some time. We've produced a lot of water and oil out of that in that area. We are also working to finish our facilities, the infrastructure with compressors, hopefully coming online in the next couple of weeks, so we can start to do some reinjection.
Neil Dingmann: All right, perfect.
Operator: [Operator Instructions] Our next question comes from Noel Parks. Noel, please go ahead.
Noel Parks: Hi, good morning.
Kevin Riley: Good morning.
Noel Parks: So just a couple of things. You were just talking about you were expecting compressors to come online the next couple of weeks, and I'm just trying to get a feel for the CapEx behind those. Is that from previously incurred in either first quarter or earlier or is that something that's going to be hitting in the second quarter?
Philip Riley: A large portion of the CapEx for that has already been incurred as those compressors are on location and have been for a little while, but it's been the plumbing and waiting on the electronic components to be able to operate for reinjection. So we are currently injecting CO2. But what I say, well, using the compressors is for re-injection, so taking the gas that comes out through production and re-injecting that, getting it up to pressure to re-inject into the reservoir.
Operator: [Operator Instructions] All right. We do have another question from Mill. Mill, please go ahead.
Unidentified Analyst: Hi. I was wondering about the, with the new properties and the integration that you're in the midst of, at this stage any new awarenesses or insights you have now that you actually have your hands on the properties? I guess I'm wondering about your thoughts on horizontal development out there and what your own experience might bring to the properties, things you might approach differently?
Philip Riley: Yes, I appreciate that Mill. We have, as mentioned, we have commenced development on our first two horizontal wells out there. We're drilling four in the next, I guess this first campaign out there underneath Riley, two of which have been done. We see opportunities to utilize some of what we've learned in Champions to reduce days drilling to hopefully complete the wells more efficiently and drive costs down. We see the opportunity in the second half of the year to share a rig between the two locations of which we plan to do and also some additional services. We've also, having larger economy of scale allows us for more negotiating power with buying inventory to develop these wells in the future.
Operator: All right. Are there any final questions? All right. If there are no further questions; that will conclude today's conference call. You may now disconnect.